Operator: Good day, ladies and gentlemen, and welcome to the John B. Sanfilippo & Son, Incorporated, Fourth Quarter and Fiscal 2013 Year-End Operating Results Conference Call. My name is SheQuanna, and I will be your coordinator for today. [Operator Instructions] I would now like to turn the presentation over to your host for today's call, Mr. Michael Valentine, Chief Financial Officer. Please proceed, sir.
Michael J. Valentine: Thank you, SheQuanna. Good morning, everyone, and welcome to our 2013 Fourth Quarter and Fiscal Year Earnings Conference Call. Thank you for joining us today. On the call with me today is Jeffrey Sanfilippo, our CEO, who is currently traveling and is calling in. Before we get started, we want to remind everyone that we may make some forward-looking statements today. These statements are based on our current expectations and involve certain risks and uncertainties that are inherent in our business. The factors that could negatively impact results are explained in the various SEC filings that we have made, including Forms 10-K and 10-Q. We encourage you to refer to these filings to learn more about the -- these risks and uncertainties. I'll start the call by covering the financial highlights for the fourth quarter and fiscal year. The current quarter net sales increased by 6.4% to $177.4 million compared to net sales of $166.7 million for the fourth quarter of fiscal 2012. The increase in net sales in the quarterly comparison came mainly from a 16.4% increase in sales volume, which is measured in pounds sold to customers. Sales volume increased in all distribution channels and for all major product types, except walnuts which remained relatively unchanged in the quarterly comparison. Approximately 50% of the sales volume increase occurred in our consumer distribution channel. The increase in this channel came primarily from increased distribution of Fisher and private brand snack nut products and the favorable impact of lower selling prices on consumer demand. The increase in sales volume in the commercial ingredients distribution channel was attributable primarily to increased sales of peanut and pecan products due to lower selling prices, and increased almond sales as a result of distribution gains achieved by a major existing customer in that channel. The increase in sales volume in the contract packaging channel was attributable to new snack mix launches and increased promotional activity implemented by a major customer in that channel. Fiscal 2013 net sales increased by 4.8% to a record $734.3 million compared to fiscal 2012 net sales of $700.6 million. The increase in net sales in the yearly comparison primarily resulted from a 4.3% increase in sales volume. Sales volume increased in all distribution channels, except our export channel, and increased for all major product types, except walnuts, which remained relatively unchanged in the annual comparison. This was the case in the -- as was the case in the quarterly comparison, the increase in sales volume in the consumer channel came mainly from increased distribution of Fisher and private brand snack nuts; in addition to the favorable impact of lower selling prices, again, on consumer demand during the second half of the current fiscal year. An increase in sales volume for Fisher recipe nuts in the second and third quarters of the current fiscal year also contributed to the sales volume increase in the annual comparison. The increase in sales volume in the commercial ingredients channel and contract packaging channel were attributable primarily to the same reasons noted for the sales volume increases in these channels in the quarterly comparison. The current fourth quarter gross profit margin increased to 16.8% of net sales from 16.6% for last year's fourth quarter. Gross profit increased by $2.1 million or 7.5%. The increases in gross profit margin and gross profit were primarily due to manufacturing efficiency improvements achieved in the fourth quarter of fiscal 2013, in addition to increased sale volume. Fiscal 2013 gross profit margin increased to 16.3% of net sales from 15.3% of net sales in fiscal 2012. Gross profit increased by $12.9 million or 12.1%. The increases in gross profit margin and gross profit in the fiscal year comparison were mainly attributable to approved -- improved alignment of selling prices and commodity acquisition costs that was achieved in the first half of fiscal 2013 and manufacturing efficiency improvements and increased sales volume that occurred in the second half of fiscal 2013. Total operating expenses for the fourth quarter declined to 11.2% of net sales from 12.0% of net sales for the fourth quarter of fiscal 2012. The decline in total operating expenses as a percentage of net sales was mainly attributable to a decline in advertising and marketing spending. The decline in advertising and marketing spending in the quarterly comparison was due to a timing change in our promotional spending efforts in comparison to last year. In fiscal 2013, we focused more on our promotional spending in the third quarter around the Easter holiday season. Conversely, in 2012, we focused more of our promotional spending in the fourth quarter for the opening of the baseball season. The sales decline was offset, in part, in large -- I'm sorry, the decline was offset in large part by increases in consulting, shipping and compensation expenses. Total operating expenses for 2013 increased slightly to 10.7% of net sales from 10.6% of net sales for fiscal 2012. Total operating expenses increased by $4.3 million or 5.8% in the annual comparison. The increase in total operating expenses was primarily attributable to increases in expenses for advertising and marketing, consulting and professional services and compensation expense. Partially offsetting these increases was a decline in broker commission expense and a gain on the sales of land and a building where the company operated a retail store. Interest expense in the current fourth quarter declined to $1.2 million from $1.4 million for last year's fourth quarter. Interest expense in the current fiscal year fell to $4.8 million from $5.4 million for fiscal 2012. The declines in interest expense in both the quarterly and annual comparisons were primarily attributable to lower average borrowing levels. As a result of the above, net income in the quarterly comparison increased by $1.7 million or 43.7% and net income in the fiscal year comparison increased by $4.6 million or 27.1%. The total values of inventory on hand at the end of the current fiscal year increased by $12.3 million or 8.4% compared to the value of inventories on hand at the end of last year. The increase in the total value of inventories was primarily attributable to increased quantities of finished goods to support increasing sales volume. The weighted average cost per pound of raw input stocks on hand in the year-end comparison decreased by 18.8%. The decrease in weighted average cost per pound was primarily attributable to lower acquisition costs for peanuts and pecans. And now I'll turn the call over to Jeffrey Sanfilippo, our CEO, who will provide additional comments on our performance in the current quarter and fiscal year. Jeff?
Jeffrey T. Sanfilippo: Thank you, Mike. Good morning, everyone. I'm very proud of the results for our fourth quarter and 2013 fiscal year. We achieved record net sales, as Mike mentioned, of $734.3 million and a significant improvement in net income over fiscal 2012. This improvement is noteworthy since we have generated 2 consecutive strong years with earnings over $1 per share for the first time in 8 years. Sales dollars and volume both increased by 4% to 5% for fiscal 2013 over fiscal 2012. Our Fisher brand is the clear #2 brand in recipe nuts domestically, and we have narrowed the gap to the market leader. We have also gained distribution for our Fisher snack brand and grew the private brands of key retail partners. During the fourth quarter, we saw meaningful increases in Orchard Valley Harvest sales volume and sales dollars compared to the same period last fiscal year. In addition, we gained sales volume in our commercial ingredients and contract packaging channels due to the growth initiatives of our customers in these important channels. On the manufacturing side, the company initiated several operational excellence initiatives this past year, and I want to recognize the strong efforts and results of our plant and production teams. They focused on improving efficiencies and driving costs out of the supply chain. The increases in gross profit margin and gross profit were primarily due to manufacturing efficiency improvements achieved in the fourth quarter of fiscal 2013 and increased sales volume. I was also pleased that our financial performance allowed us to pay $1 per share special dividend to our stockholders during the fiscal year in Q2. I want to thank our management team and all our employees for their commitment to the company's success. Our recent financial performance has allowed us to devote more resources to continue to support our growth plans and execute 3 strategic goals. First, grow JBSS brands. We are focused on expanding the national distribution of our Fisher snack and recipe, and Orchard Valley Harvest produce brands. I will speak of our recent success when we look at category trends. Innovation will continue to be a major priority in the success of the growth of our brands. Whether our innovation comes from ideas such as developing new snack mixes containing nut and fruit products to meet our customers various needs, creating new flavors for our traditional products and establishing new markets for existing products or developing innovative packaging solutions to keep our products fresh, we intended to be a brand leader in our industry. Second, expansion of our international business. We are devoting increased resources to emerging international markets, particularly in Asia. The potential for our products in the international market is considerable. As a leader in providing innovative nut solutions, we feel that we are qualified in expanding our markets throughout the world and our customers will continue to view the Fisher name as one of unmatched quality and satisfaction. While international sales are currently approximately 5% of our total sales, we expect to grow this portion of our business. And while our growth initiatives in emerging markets will be aggressive, our efforts will also be cautious. Third, create value with key customers. We continue to invest in consumer insights, product and packaging innovation and new product capabilities to grow our business and that of our key partners. In fiscal 2013, the company was recognized as the supplier of the year by 2 major customers, 1 in our consumer channel and 1 in our contract manufacturing channel. These awards are given to collaborative partners who provide significant value in research and development, category management and global supply chain optimization. This recognition demonstrates that our efforts to provide best-in-class integrated nut solutions are well received and successful in growing our business. Turning to sales highlights by business channel. In the consumer channel, net sales increased by 4.2% in dollars and 2.9% in sales volume in fiscal 2013 compared to fiscal 2012. Total Fisher brand sales volume increased by 16.5% in fiscal 2013 compared to 2012 due primarily to higher sales to existing customers and approximately $8.5 million in sales to new recipe nut customers. Recent market data indicates that Fisher recipe nuts continue to gain significant market share in the overall recipe nut category. Private brand consumer sales volume increased by 3.1% in fiscal 2013 compared to 2012. Additionally, sales volume for both private brand and branded nut products were favorably impacted by an increase in consumer demand for nuts and nut products due to lower selling prices during the second half of fiscal 2013. In the commercial ingredient channel, net sales increased by 0.7% in dollars and 3.7% in volume in fiscal 2013 compared to 2012. The sales volume increase, as Mike mentioned, was primarily due to increased sales of peanut and pecan products from lower selling prices and increased almond sales as a result of distribution gains achieved by a major existing customer. We are seeing a renewed interest from the R&D departments of major food manufacturers and food service providers in developing new products that use nuts as an ingredient. Our sales and innovation team were successful in bringing several value-added praline pecan items to market this past year. In the contract packaging channel, net sales increased by 22.1% in dollars and 14.4% in sales volume in fiscal 2013 compared to fiscal 2012. The increase in sales dollars and sales volume was primarily due to new snack mix product launches, as Mike mentioned, and increased promotional activity implemented by a major existing customer. In this channel too, we are experiencing an increase in development projects for new items that include nuts. In the international channel, net sales decreased by 1.4% in dollars and 3.9% in sales volume in fiscal 2013 compared to 2012. The decrease in sales volume was due primarily to the unfavorable impact on customer demand of higher peanut prices that existed in the first 2 quarters of fiscal 2013 which was not offset by increased demand in the last 2 quarters of fiscal 2013. Turning to category updates. All the market information is reported through ACNielsen data ending June 29, 2013. And when I refer to Q4, I'm referring to the final 13 weeks of the quarter ending June 29. We look at the category on Nielsen's new total U.S. definition, which includes food, drug, mass, Walmart, military and other outlets, unless otherwise specified. And when we -- when I discuss pricing, we -- I'm referring to average price per pound. During the 2013 fiscal year, the nut category declined 1% in pound volume and increased 6% in sales dollars due to increased pricing. Pricing at retail during the fiscal year increased 6% versus the prior year. Price increases were most visible on peanuts, which were up 16%; mixed nuts were up 9%; cashews, up 9%; and walnuts were up 8%. When looking at fourth quarter consumption trends, the total nut category increased in both pounds and sales dollars, up 3% and 4%, respectively. Overall, pricing in Q4 increased 1% versus the prior year. Almonds, mixed nuts and walnuts experienced the largest price increase at 6% versus last year. In the fourth quarter, cashews and pecans had the strongest consumption results among nut types, increasing in both pound volume and sales dollars. Pecan increases were driven by pricing, while cashews grew due to a number of new introductions by retailers promoting their private brands. Our Fisher brand had a very strong year. Fisher recipe continues to gain momentum behind the strategy of growing distribution, increasing merchandising activity and building equity. For the fourth quarter, Fisher recipe nuts increased 5% in pound sales and 10% in sales dollars versus Q4 of last year. For the entire fiscal 2013 year, the Fisher recipe brand grew 16% in pounds shipped and 20% in sales dollars versus the prior year. The growth was driven by a 64% increase in display activity and a 12% increase in total points of distribution gains. The Fisher brand continued its sponsorship of the Food Network and celebrity chef Alex Guarnaschelli, which was launched last year. The program includes branded vignettes on the Food Network, print advertising in Food Network Magazine and other publications, as well as a fully integrated social media effort. Looking at a snapshot of our Fisher snack business. Volume in pounds shipped increased 20%. Sales dollars increased 15% in the fourth quarter versus last year's fourth quarter. The Fisher snack business increased pound volume by 39% and sales dollars by 23% for fiscal 2013 versus last year. The sales gain has been due to increased distribution and increased merchandising around our integrated marketing campaign. Total points of distribution for the brand increased 20 -- 28% and display activity increased 133% versus the last fiscal year. In the produce department, we continue to focus on our Orchard Valley Harvest brand. While we are still in a rebuilding phase for the brand, during the fourth quarter, we saw meaningful increases in total distribution points of Orchard Valley Harvest as we gained new retail customers and expanded our product placement in the produce section. Orchard Valley Harvest is gaining positive momentum as a result of in and out promotions and key distribution wins on our 2-ounce mini item packages. Early results on this new line are positive, as it appeals to the grab-and-go nature of the health-conscious consumer in the produce section of the store. In closing. We accomplished a tremendous amount this past year, and I am pleased with our fourth quarter and year-end 2013 results. Again, I want to thank our management team and each of our employees for their dedication and leadership. And while I am proud of our accomplishments this past year, our company still has much more to achieve to reach its potential in fiscal 2014 and beyond. We will stay focused on executing our corporate strategies for the long term, and I remain very optimistic about our future. Our company will continue to invest in our people, brands and processes to provide increased value for our customers and stockholders. We appreciate your participation in the call and thank you for your interest in John B. Sanfilippo & Son. I will now turn the call back over to Mike.
Michael J. Valentine: Okay, thanks, Jeff. At this time, we will open the call to questions from participants. SheQuanna, can you please queue up the first question?
Operator: [Operator Instructions] Your first question comes from the line of Luke Jeremiah [ph] with LKL [ph].
Unknown Analyst: I'm a little curious on the walnuts. I guess I would have expected more strength there. Can you kind of just talk about what's going on in that market and what you're seeing?
Michael J. Valentine: Jeff, do you want to take that one?
Jeffrey T. Sanfilippo: It -- for Fisher specifically, or just overall category?
Unknown Analyst: Overall category.
Jeffrey T. Sanfilippo: Yes. So we saw some price increases on walnuts in the marketplace. There's been a lot of export demand for walnuts this year, so it's been a little bit challenging on building walnut distribution gains when you've got so much competition for raw material going into exports. Plus, the other commodities, we're very competitive from a pricing standpoint. So in the best B [ph] nut, in category, you'll see some switch from walnuts to almonds and other commodities.
Unknown Analyst: Sorry, so the walnut supply is the tough part?
Jeffrey T. Sanfilippo: It's -- well, it's a combination of promotional activity. When prices get higher for some retail nut types, you'll see consumers switch from, say, walnuts, as an example, to almonds for a recipe. And so when you -- so then you had increases in pricing for walnuts this year. You would see a little bit of switching to other nut types away from walnuts.
Unknown Analyst: And then on the supply side, in terms of, I guess, getting your hands on raw materials and finding suppliers and how many buyers are out there, what are you seeing there?
Jeffrey T. Sanfilippo: Correct. So there's some increase in export demand for walnuts, but really, the big piece was, if you look at the average retail prices for walnuts in the U.S., it increased 7.9% in dollars, went from an average of $7.24 a pound to $7.81. So you saw an increase in walnut pricing, whereas you saw decreases in average retail prices of pecans. Almond average retail price went down 17%. So walnuts, it became a more expensive item for recipe nuts, so -- and that's potentially where we see a shift in some of the volume.
Unknown Analyst: Okay, all right. And I guess, what are the -- you'd put walnuts, almonds and pecans kind of in that shifting category between each other on what people end up buying based on price. Or are there -- is it all nuts?
Jeffrey T. Sanfilippo: Correct. Yes, I would use those as the 3 main ingredients in the U.S. You've got some pine nuts there, you've got macadamias. Peanut consumption for nut toppings actually grew as well, a little bit. That's a combination of different types, but the main ones are walnuts, pecans and almonds.
Operator: [Operator Instructions] Your next question comes from the line of Christopher Robertson representing Cardinal Capital.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: I wanted to talk a little bit about the promotional activity and get a better sense for how much of the timing that you discussed in the press release and conference call around whether it was building the baseball season or -- I forgot what the other one was. How much of that is driving the sort of near-term results versus what your expectations would be more on a normalized year-over-year type number? And how sticky, do you think, the sales with the promotion can be?
Michael J. Valentine: Jeff, do you want to take that one?
Jeffrey T. Sanfilippo: Sure. So what we did was we've reallocated some of our resources. We did a lot of promotions in prior years in the sports snack area, Super Bowl promotions, a lot of spring type of baseball promotions. We shifted some of those resources in promotional funds to our recipe brand, really focused on Easter holidays. There's a big increase in consumption during Easter for baking, cooking. And so we just shifted some of those funds away from the snack piece more towards supporting the recipe nut program. I would say that it should be a consistent trend going forward. We will continue to invest in our snack brand, but we really -- a lot of our resources are focused on building the recipe nut program focusing around holidays, Christmas, Thanksgiving and then the Easter time period.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: And as far as the stickiness, is it too early to tell whether you feel like competition has increased in terms of other players being promotional as well?
Jeffrey T. Sanfilippo: I would say we're going to -- we expect to see additional promotional levels from our competitors as well. I don't know if it would be any different from what we've seen this past year, I think that's their call. It's hard for me to comment on that.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: But you haven't seen it yet in the marketplace in a meaningful way.
Jeffrey T. Sanfilippo: Correct.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: Okay. And as far as the -- sorry, go ahead. As far as the walnuts go, I feel like we covered that. The only thing I'd want to add is, does it feel like that marketplace, x the export portion of it, has normalized relative to the disruption that your primary competitor's been going through?
Jeffrey T. Sanfilippo: When you say normalized, normalized from a consumption supply standpoint, or consumption demand...
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: No more the -- before it gets to the retail side of it, just where growers are going and -- or does it still feel like the market's a bit turbulent?
Jeffrey T. Sanfilippo: Yes, I wouldn't say the market's turbulent. Really, it's mother nature determines how much crop we get each year. I will say, we'll -- we expect to see an increase in demand internationally for walnuts, just it's a growing popular nut type. But really, it's going to be up to mother nature and then walnut growers, hopefully planning additional acreage for walnuts, to continue with the demand.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: And you feel like your share there is pretty stable, or can you grow that more?
Jeffrey T. Sanfilippo: I -- we feel it's stable. Obviously, if there -- if we had more access to walnuts, we believe that we could continue to grow that segment of our business.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: And if we could just jump over to the comments around manufacturing efficiency. Is there any way you can quantify that, maybe what inning do you think we are there? Or is that sort of driven by pricing and, therefore, the volume that you can push through?
Jeffrey T. Sanfilippo: It's a combination -- yes, go ahead, Mike.
Michael J. Valentine: Okay, I'll take that one. As Jeff mentioned, we started that initiative in the fourth quarter, so it's a little too soon to say how sustainable that can be, or even to quantify it. But it did have a meaningful impact in our fourth quarter results.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: And is it the kind of thing that you can continue to see that playing out at least over the next 12 months or remaining 3 quarters from when you started it?
Michael J. Valentine: Yes, well, it's an ongoing effort. And it's pretty much an introduction of lean manufacturing techniques, so it will take some time to get that ingrained in the culture in our manufacturing operations. But it's been well received by the people in our plants, so we think it should continue on.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: And definitely appreciate the special dividend that you did earlier in the year. Is that sort of your preferred method of distributing excess capital? Or do you see the opportunity for acquisitions or share repurchase?
Michael J. Valentine: Everything is on the table, but first and foremost is how many financial resources we dedicate to our nut purchases, and that's -- can be driven by price and quantities available. So until that's determined, we can't really say where we're going to -- what we're going to do with the excess after that, if there is even any.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: And as far as the international side of the distribution, how capital intensive is that? And how -- I guess it sounds like the supply of nuts is really your biggest constraint there. How do you see that playing out over the next handful of years?
Michael J. Valentine: Jeff do you want to take that one?
Jeffrey T. Sanfilippo: This is Jeffrey -- sure, sure. So emerging markets, we believe, are great growth opportunities. As I mentioned, international sales right now is only 5% of our total volume. We see great opportunities in places like China. So the capital expense is not dramatic right now, it's really just building a distribution base, a sales force, some marketing expertise in-country; and then building our distribution of Fisher brand. I would say, long term, potentially if we were to start manufacturing in China, then you would see a ramp-up in some capital investment. But short term, it's really just building that infrastructure from a sales and marketing standpoint.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: And the comment about the major customer selling more, how much additional opportunities do you see like that? And how much of that is in your control versus you're just distributing the nuts to them when they see those kind of gains?
Jeffrey T. Sanfilippo: We see...
Michael J. Valentine: I'll take that one, Jeff. There were -- we referenced 2 major customers. The one in the commercial ingredients channel, that's really 100% their efforts determine how that volume changes. In the contract packaging channel, we do collaborate with a major customer there by offering innovation and other sorts of support, so we do play a minor role in that respect.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: And is that somewhat driven by the price of the nuts at the time for their ability to sell more? Or is it sort of the innovation is driving their ability to ultimately find those avenues?
Michael J. Valentine: Well, it's combination of both because the innovation, in many cases, could be somewhat opportunistic based on the prices of nuts. So in other words, the innovation tends to gravitate towards lower-priced products versus higher-priced products.
Christopher W. Robertson - Cardinal Capital Management, L.L.C.: Okay. I guess the only other question I had, and I appreciate the time, is around the innovation side of the fence. We've seen a lot of opportunity because of lower-cost nuts driving sales. How much do you think innovation can really grow things, regardless of the underlying pricing of the raw materials?
Jeffrey T. Sanfilippo: This is Jeffrey. We're seeing, not a renewed interest, because there's always been an interest in health and wellness. We think innovation can help bring healthy products to market just giving it a different taste profile, different flavor. So I think there's innovation from a flavor standpoint that is still growing. The other piece of it is the packaging side. There's -- a nut is a nut, so we've got to bring additional not only flavors but unique packaging, unique delivery mechanisms to consumers. And we think there's a lot of new technology in the packaging side, both from a material standpoint and from a manufacturing standpoint, that could bring fresh, new ideas to the category. So we believe innovation is still a critical area of opportunity for growth.
Operator: Your next question comes from the line of Patrick [ph] Morri [ph] representing Milwaukee Private Wealth Management.
Jeffrey Richart Geygan - Milwaukee Private Wealth Management, Inc.: Mike, well done in managing your balance sheet, particularly your debt reduction. What are your plans going forward for balance sheet management?
Michael J. Valentine: Well, as far as the long-term debt goes, it's scheduled. And prepayment penalties are pretty considerable, especially on the tranche A mortgage, so there's not much we can do there. The other piece of the long-term debt, the smaller piece, is securing that original ultra site [ph] property we have. And that really is kind of subject to whether that property sells or not.
Jeffrey Richart Geygan - Milwaukee Private Wealth Management, Inc.: And I assume that's the for-sale asset on your balance sheet.
Michael J. Valentine: That's correct.
Jeffrey Richart Geygan - Milwaukee Private Wealth Management, Inc.: Jeffrey, with respect to the rollout of product through Kroger, how would you qualify that in satisfying your expectations?
Jeffrey T. Sanfilippo: We look at it from -- obviously, the new distribution is critical gaining more distribution points, some more products on the shelf, more stores carrying our product. We also are looking at the velocity, how many items are turning every week. And I would say all 3 metrics are meeting our expectations.
Jeffrey Richart Geygan - Milwaukee Private Wealth Management, Inc.: Great, glad to hear that. And Mike, this might be back to you. With regard to your gross margin, it looks like 16% might be roughly your steady state. Would it be reasonable for me to assume that in the future? Or is there really gross margin expansion opportunity?
Michael J. Valentine: Jeff, a lot of it is going to depend on sales volume. We believe we can continue these manufacturing efficiency efforts to help that, but sales volume is very critical in respect not only to gross profit dollars but also to that margin.
Jeffrey Richart Geygan - Milwaukee Private Wealth Management, Inc.: All right. And Jeff, last question for you would be, can you give us an update on changes in personnel over the last year and how that has impacted the business?
Jeffrey T. Sanfilippo: Sure. So we've no changes in our consumer channel. We've changed a little bit of our commercial ingredient channel. We have our VP who is retiring in December, so we've brought a new gentleman on from -- has great food service experience, named Steve Chester. He just joined the company the last month or so. And so he will be taking on the role of overseeing our commercial ingredient department. He brings a lot of marketing expertise with him, and more operator-driven type of programs. So we see very good opportunities to build more value in the commercial ingredient channel. The international channel, we have a new gentleman running that division, comes from Brown-Forman, great branded experience, helped launched several of their brands in China. So we've got much higher level of talent and brand management in and across the channels. So very excited, very happy with the leadership team in the different sales divisions.
Jeffrey Richart Geygan - Milwaukee Private Wealth Management, Inc.: Is the increased compensation expense that you referenced in your release related to the hiring of these 2 individuals? Or is there something more to the compensation change?
Michael J. Valentine: I'll have that, Jeff. A lot of that is just due to improved operating results and its impact on incentive compensation.
Jeffrey Richart Geygan - Milwaukee Private Wealth Management, Inc.: Will this be disclosed in the proxy and look something like last year?
Michael J. Valentine: Yes.
Operator: You have a question from the line of Bruce Windler [ph].
Unknown Analyst: I think I understand the things that you're doing with your strategy to influence 2014. What would you think is the 2 or 3 most important things that are out of your control that you're looking for that will influence 2014?
Jeffrey T. Sanfilippo: This is Jeffrey. So from the sales side, obviously, we don't have a crystal ball on what our competitors are going to do. We've got great competitors in our industry across our channels, so that's something that's not out of our control if they increase their promotional spending, cut prices, do things different in the market than they've done. And the second big thing from a sales standpoint is the -- what supply we have available, what types of things that we're going to have available to promote and continue to grow our brands. So those will be the 2 things. In the international piece, third, I guess, would be just fluctuations in demand overseas. Right now, we continue to see it grow. It used to be double digit, it's now a high-single-digit growth, but we still anticipate great opportunities there. But again, we don't control that.
Operator: At this time, I would like to turn the call back over to Mr. Michael Valentine for closing remarks.
Michael J. Valentine: Okay, thank you, SheQuanna. At this time, that ends our Fourth Quarter 2013 and Fiscal Year 2013 Conference Call. We thank everyone for their interest in JBSS, and we wish you all a good day. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. And have a great day.